Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Ituran First quarter 2014 Results Conference Call. All participants are present in a listen-only mode. Following management's formal presentation, instructions will be given for the question-and-answer session. (Operator Instructions) As a reminder, this conference is being recorded, May 15, 2014. You should have all received by now the company's press release. If you have not received it please call GK Investor and Public Relations at 1 (646) 201-9246. I'll now hand the call over to Mr. Kenny Green of GK Investor and Public Relations. Mr. Green, would you like to begin?
Kenny Green: Thank you. Good day to all of you and welcome to Ituran's conference call to discuss the first quarter 2014 results. I would like to thank Ituran's management for hosting this conference call. With me on the call today are Mr. Eyal Sheratzky, Co-CEO; Mr. Eli Kamer, our CFO; and Mr. Udi Mizrahi, VP, Finance. Eyal will begin the summary of quarter's results, followed by Eli with a summary of the financials. We'll then open the call for the question-and-answer session. I would like to remind everyone that the Safe Harbor in today’s press release also cover the contents of this conference call. And now, Eyal, would you like to begin please?
Eyal Sheratzky: Thank you, Kenny. I'd like to welcome all of you and thank you for joining us today. We are very pleased with our results, ending another record across most parameters for Ituran. Total revenues grew by 11% over last year, with the main contribution to this growth, our product sales. Product sales grew 39% over the first quarter last year, and the main contribution was our sales in Israel and particularly strong quarter of ERM sales. However, subscriber revenues also grew and we did see an increase in our subscriber growth, and we ended the quarter with 758,000 subscribers globally. We added a net 74,000 subscribers, a growth of 11% over the past year, and 17,000 of those were ended in Q1. The weakening of the Real and Peso against the U.S. dollar eroded our subscription revenue, which themselves grew by 3%. In local currency terms, our revenues grew 13% from subscribers. This quarter, we reported very strong profitability. Our gross margin level was at 52.2%. The additional costs of servicing every new subscriber that we add is low, so as our subscribers number grow, we expect to continue the general trend of improving our gross margins. We grew our operating income by 26% year-over-year, well ahead of our revenue growth. This is a clear demonstration of the strong inherent operating leverage built into our business model. We generated a good level of operating cash flow in the quarter of $9.6 million and ended the quarter with $47.4 million. As you know, we have a policy to share at least half of our net profit with our shareholders. And for the first quarter, we issued a dividend of $4 million, representing 55% of our net profit in the quarter. I’d like to provide you a brief update with regard to our performance in our two main regions; Brazil and Israel. In Brazil, our business continued to grow strongly and Brazil remained a strong contributor to our overall subscriber growth. We continued to market our brand strongly in the region. We continued to see increased interest and growth from the private market allowing us to move away from dependency on the insurance company. With regard to CONTRAN 245 regulation , we again see a new two-year delay in the implementation of this law. However, as we said in the past, these delays are nothing new and we have been running the business very successfully independent of whether this law does and have been implemented or not. In any event, the thinking behind this law has caused increased awareness of vehicle tracking among car manufacturers and dealers and led to increased interest in our services. Looking ahead, as more and more cars in this major market incorporate Telematics technology, we expect to continue growing and we look forward to further realizing our full potential in the region. In Israel, our business continues to grow in line with new car sales, and we continue to penetrate the lower segments of the market through our Ituran service. In summary, we’ve seen a very good start to 2014 and our performance remains solid. We continue to benefit from the leverage built into the business model whereby the substantial portion of the revenue that we gain from every new subscriber can fall to the bottomline. As we move through the year, we look forward to further reaping the rewards of our past efforts and maintaining our growth trend while continuing to improve our profitability. I will now hand the call over to Eli for the financial review. Eli?
Eli Kamer: Thanks Eyal. Revenues for the first quarter of 2014 were $45.5 million, representing a 11% growth from revenues of $41 million in the first quarter of 2013. Revenue breakdown for the quarter was $32.2 million, coming from subscription fees at 3% year-on-year increase. Product revenues were $13.3 million, which were a 39% increase over the same quarter last year. The geographic breakdown of revenues in the first quarter was as follows: Israel 55%, Brazil 34%, Argentina 7%, and United States 4%. Gross margin in the quarter was 52.2% compared with the record gross margin we had in the first quarter of last year at 52.3%. Operating profit for the first quarter of 2014 was $11.7 million, an increase of 26% compared with an operating profit of $9.3 million in the first quarter of 2013. EBITDA for the quarter was $14.4 million or 31.7% of revenues, an increase of 16% compared to EBITDA of $12.4 million or 30.3% of revenues in the first quarter of 2013. Net profit was $7.3 million in the quarter or fully diluted EPS of $0.35. This is compared with the net profit of $6 million or fully diluted EPS of $0.29 in the first quarter of 2013. Cash flow from operations during the quarter was $9.6 million. As of March 31, 2014, the company had net cash including multiple securities and deposits in escrow of $47.4 million or $2.26 per share. This is compared with $46.6 million or $2.22 per share at December 31, 2013. For the first quarter of 2014, a dividend of $4 million was declared, representing 55% of the net income in the quarter. The dividends record date is June 18, 2014 and the dividend will be paid on July 3, 2014, net of taxes and leverage at the rate of 25%. And with that, I’d like to hand you back over to Eyal. Eyal?
Eyal Sheratzky: Thank you, Eli. We continue to remain very well positioned as the leader in our main two markets; Israel and Brazil. We continue to experience growth in both markets. As we continue to grow the operating leverage inherent to our business model, it is very much in plan. We look forward to continuing our strong growth trend in both revenue and profit. And with that, I would now be happy to take your questions. Operator?
Operator: Thank you. (Operator Instructions) The first question is from Nadav Zeller of Sphera Fund. Please go ahead.
Nadav Zeller - Sphera Fund: Hi, guys. Just wanted to get some color regarding the current environment in Brazil, we’ve been getting some stats regarding weaker new car sales, and how does this affect you?
Eyal Sheratzky: Actually, we are not [pink] and we are not seeing in field that this is really influencing our growth. Although, let me remind you that usually the first quarter in Brazil, which is soon after the New Year and the Christmas and a lot of holidays, it has some declining, but it’s something quite often every year. Also, we are looking forward this year and I understand that from around mid-July to -- mid-June to mid-July, football – (inaudible) probably will lead to almost a month of holiday for most of the Brazilian fans, but except those to specific and short aspects, we are not really influenced by the car decline -- the car manufacture decline.
Nadav Zeller - Sphera Fund: Okay. Thank you.
Operator: (Operator Instructions) There no further questions at this time. Before I ask Mr. Sheratzky to go ahead with his closing statement, I would like to remind participants that a replay of this call will be available tomorrow on Ituran’s website www.ituran.co.il. Mr. Sheratzky, would you like to make your concluding statement?
Eyal Sheratzky: On behalf of the management of Ituran, I would like to thank you for your continued interest and long-term support of our business. I do look forward to speaking with you and updating you again next quarter. Have a good day. Bye.
Operator: Thank you. This concludes the Ituran First Quarter 2014 Results Conference Call. Thank you for your participation. You may go ahead and disconnect.